Operator: Ladies and gentlemen, thank you for standing by. Welcome to DSM Conference Call on the First Half Year Results of 2018. [Operator Instructions] Now, I would like to turn over the call to Mr. Huizing. Go ahead please, sir.
Dave Huizing: Thank you, operator. Ladies and gentlemen, good morning, and welcome to this conference call on DSM’s first half year 2018 results, which we published earlier this morning. I’m sitting here with Mr. Feike Sijbesma, CEO and Chairman of the Managing Board; and Mrs. Geraldine Matchett, Chief Financial Officer and Member of the DSM Managing Board. They will elaborate on the results and after that answer your questions. As always, I need to caution you that today’s conference call may contain forward-looking statements. In that regard, I would like to direct you to the disclaimers about forward-looking statements, as published in the press release. And with that, I will hand over to Geraldine. Geraldine, please go ahead.
Geraldine Matchett: Thank you, Dave. Good morning, ladies and gentlemen. After having welcome many of you at our Capital Markets Day on June 20th, it’s a pleasure to welcome you again to this call on DSM H1 [2015] results. I will start with providing some comments on the key slides in our investor presentation that we published this morning, together with the press release, and then we’ll open the line for a Q&A session. However, before starting, I would like to point out that in order to provide as much transparency as possible, we have once again shown separately for Q2, the estimated impact on our business of the temporary higher vitamin prices, resulting from the exceptional supply disruptions in the industry. Therefore, what is referred to as the underlying business in today’s call and in the press release are the normal business activities, excluding this temporary vitamin effect. As previously mentioned, this split is of course not our usual way of reporting and thus requires some estimates. Now, let’s start with the financial highlights on page two. As you can see from this slide, our underlying business reported a very good H1 with strong performance across all businesses and a continued strong organic sales growth of 10%. Adjusted EBITDA went up 7%, despite a significant FX headwind of about €50 million, which means that at constant currencies, the EBITDA grew double-digit. This strong performance resulted in a ROCE of 13.8%, up a 160 basis point. During the second quarter, we also took further steps in the monetizing our partnerships and announced our exits from Fibrant as well as from DSM Sinochem Pharmaceuticals. These two transactions will result in an additional cash inflow of around €475 million and demonstrate our continued strong track record at extracting value from our partnerships, in line with our strategic ambition for the period of 2016 and 2018. Looking ahead for the remainder of the year. The interim dividend to be paid in Q3 will amount to €0.77 per share, reflecting a nearly 25% step-up in the proposed dividend 2018, highlighting our confidence in the future earnings growth indicated in our strategy update that we communicated on June 20th. And finally, we reiterate our full-year 2008 outlook, which you can find on page five of this presentation, supported by the very good H1 underlying performance, ongoing positive business conditions and a temporary vitamin effect €275 million. Now, before moving to the underlying performance of each business, let me just say a few words about the temporary vitamin price effect, and for that let’s move to page nine. As shown on this table, the first half of the year benefited from an estimated €275 million additional adjusted EBITDA contribution, relating to the exceptional vitamin price environment. This effect was mainly related to Animal Nutrition. In our Q1 communication, we stated that these effects would be temporary and heavily weighted towards the first half of the year. This vitamin price effect was mainly related to Animal Nutrition with prices normalizing by the end of the second quarter. Now, moving to the performance of the underlying business in nutrition, let’s go to page 10. Nutrition continued to deliver on -- sorry, nutrition continued to deliver on its above market growth ambition with organic growth in the underlying business estimated at 10% in H1 2018 with 6% higher volumes. The 4% higher prices partially offset 9% foreign currency effect and higher input costs. The adjusted EBITDA for the underlying business is estimated to be €564 million, representing a 7% increase compared to H1 2017. The increase was mainly driven by volume growth and the contribution from the savings and efficiency program, partly offset by negative foreign exchange effects. The estimated EBITDA margin for the quarter was 19.9%, representing a further step-up versus the 19.0% in H1 2017. Now, looking more specifically at Animal and Human Nutrition, let’s move to page 11 first. Animal Nutrition continued to show strong performance in the underlying business with organic sales growth in the first half of the year estimated at 14%. Volumes were up 8%, driven by very strong sales in premix solutions and with strong business conditions in all regions, except for Brazil where the ongoing unrest continues to impact the local economy. As indicated in our Q1 release, H1 2018 benefited from an exceptionally strong first quarter. In Q2, the market normalized and volumes up 3% were negatively impacted by the truckers strike in Brazil. Without this event volume growth of the underlying business would have been around 6%. For the remainder of the year, we expect continued good business conditions, except in Brazil where we expect to see a 1% to 2% negative volume impact from these strikes in the second half of the year. The 6% higher prices where the results of initiatives undertaken to mitigate higher input costs and the impact of clearly less favorable exchange rates, especially the weaker U.S dollar and Brazilian real. Furthermore, prices were supported by the effect of Blue Sky policies. Now let’s continue with Human Nutrition, moving to page 12. Our Human Nutrition businesses continued to deliver strong growth, supported by all regions and segments, and resulting in an estimated 8% organic sales growth in the underlying business. Volumes were up 5%, well above market with especially strong growth in premix solutions as well as in the i-Health business. Prices were up 3%, coming from the combination of positive mix effect, resulting from the strong growth in premix and in i-Health as well as higher prices in premix and advanced formulation, supported by the effect of the Blue Sky policies in China. Now, for our Materials businesses, let’s move to page 13. Our Materials businesses delivered another solid set of results with an organic growth for H1 of 9%, reflecting a 6% increase in volume and a positive price effect of 3% linked to higher input costs. Driven by overall good demand which was especially strong in the automotive and life protection, our engineering plastics, resins and Dyneema businesses all continued to deliver the above market growth ambition. Only in the European coatings resins activity did we notice some softening, following uncertainties in the value chain on how the European building and construction markets will develop in H2. As shown on page 15, the continued strong overall performance of the Materials businesses delivered an adjusted EBITDA of €261 million in the first half of the year, up 8% compared to H1 2017. This resulted in an adjusted EBITDA margin of 17.5% versus 16.9% in H1 2017 which was positively influenced by good volume growth in specialty portfolio. Now, moving to cash generation to finish off, let’s go to page 20. Cash flow from operating activities amounted to €503 million in H1 2018, an increase of a €174 million compared to H1 2017. This is of course in part the result of the temporary vitamin price effect. Average total working capital as a percentage of sales came down slightly at 18.3% for H1 from 18.9% in H1 2017. Operating working capital on the other hand increased to €2.3 billion at the end of H1 2018 compared to €2.1 billion at the end of H1 2017. The increase was due to higher working capital in nutrition, following some inventory buildup in view of the scheduled maintenance stops in H2 as well as the higher receivables, in line with the higher sales levels. Nevertheless, we indicated during our Capital Markets Day we believe inventory levels in nutrition are currently too high, and we’re working to improve this structurally over time. Capital expenditure for the first half of the year reached €295 million, an increase compared to last year that was mainly caused by some overflow from 2017 and the timing of projects. Net debt closed at €831 million, somewhat up compared to Q1 2018, in line with the usual seasonality and reflecting our full-year 2017 final dividend payment and repurchases of shares during the quarter. And with this, I would like to open the floor for questions. Operator?
Operator: [Operator Instructions] The first question is coming from Mr. Neil Tyler, Redburn. Go ahead please.
Neil Tyler: Two questions, please. The Animal Nutrition business from a volume perspective. Can you discuss perhaps little bit how customer buying patterns have developed sequentially through Q2 and 3, as prices have fallen? Whether perhaps now the prices are stabilizing we might see a resumption of some buying being postponed? And then, also staying with Animal Nutrition on the pricing front, the broader base price inflation that you have seen away from the one-off effect, do you see any risk of sort of a halo effect from those vitamin E and A prices, particularly that might unwind later this year, now that those prices are normalizing? Or are there broader based inflationary effects in the other animal nutrition products?
Geraldine Matchett: Do you want to take some of those or…
Feike Sijbesma: Yes. As we have seen in the first quarter, the volumes in animal health, so especially A&E due to the outage of one of our competitors was strong in the beginning of the year in the first quarter, I think people were nervous of having all the materials. In second quarter, we have seen some hesitation in the volumes, still we did about 3% corrected for Brazil about 6%. And I expect the volume intake in Q3, Q4, second half year to normalize, and that means for our Company still above the growth of the market. And I see it at also the beginning of the third quarter. So, the hesitation which was there a little bit in the second quarter, logically because people expect us to be back, and they came back at the end of the second quarter, so people wait for that moment. And to build on your pricing, I think pricings for A&E go back to normal as they are doing, or did at the end of the quarter. And I expect that to remain. And we feel okay at this price levels like we felt before.
Neil Tyler: I was really referring to sort of products outside of the A&E complex. So, the remaining prices seem to be inflating more quickly than perhaps I’d have expected than they have done for some time. And whether that’s being sort of dragged out by general premix lack of availability or whether there are other inflationary effects or anything else that we need to bear in mind as we look through the second half of the year?
Feike Sijbesma: We have seen some of the prices already increasing of the non-A&E already in the second half year. So, on a comp basis, you see that also in the second half year ‘17, so you see that also right now reflecting into our prices. It’s maybe, but limited, maybe some raw materials but it is mainly also competitive situation in China, the whole Blue Sky, all kind of products which makes it -- for some of the output, for some of the investments which need to be done in order to adhere to all the environmental policies, which make them maybe less competitive and increasing prices. So, we saw -- indeed outside the AE also okay, so, I will not overestimate or over express that but okay prices have been for us. Yes, correct.
Neil Tyler: And then, just one follow-up. The inventory build that you referred to in nutrition, do you think that had any positive effect on gross margins in the second quarters as production rates have been lifted and perhaps it takes cost over-absorbed or is it not meaningfully enough to have any effect?
Geraldine Matchett: It’s not something really meaningful enough to call out. This is very much sort of in the swing of things. But what we did see, and of course as highlighted in our figures, the working capital is on the high side at the end of the half year. Now, it’s obviously very much linked to the high sales in Q1 and Q2. But also as you can imagine our production was running quite strong. And then, we saw this kind of hesitation to buy that we mentioned at the Capital Markets. So, there is a little bit of bunching up. Although the end of the quarter we saw the pickup there. But I would say from a margin point of view, nothing really worth calling out or flagging.
Operator: The next question comes from Mr. Mutlu Gundogan ABN AMRO.
Mutlu Gundogan: A few questions. So, the first one is on the trucker strikes in Brazil. So, thank you disclosing the impact on sales. Just wondering if you could also get the impact on EBITDA. The second question is on vitamins. Last year, obviously, in the winter, there was this huge impact also coming from China as they closed down capacity. Is this something that you expect again this year? And then, thirdly, is the comment you made on resins that your coating customers are uncertain on how the building and construction industry will develop throughout the current high season. I was wondering if you could explain that to us, because I mean we already have Q2, we are now following Q3, so just wondering what you mean with that?
Feike Sijbesma: Okay. I don’t know whether Geraldine can say something about the EBITDA, the strike. But, if I look to the vitamin, first of all, I would like to say that the vitamins are only 30% of the total nutrition business. So, that’s not -- maybe every time, it’s up to you, which kind of questions of course you ask, but I don’t want to overstress the impact of vitamins on the total, next to the onetime FX. Because there are always some outrages and in and out and price fluctuations et cetera. I don’t see a specific reasons, Mutlu, why in the winter in the second half year some of the vitamin produces in China will be out. I don’t see any specific reason for that. I think the overall attention in China for so called, the Blue Sky, that is continuing, that’s more a trend and that places some competitors a little bit weaker in volumes, so sometimes even closing down the factories or reducing volumes and several [ph] of investing and that makes them less competitive. But I think we are now into a normalized situation as I see it in the second half year. And we can easily deal with that. And we continue to grow vitamins and non-vitamins above market. And I expect we continue to grow in the second half year and the coming years. On the Materials, especially the momentum for overall Materials business is doing well. The only thing, automotive, E&A, the specialty especially and Dyneema are all doing very fine. The only thing reflects is resins in the area of building construction, especially in Europe, and we see that weakening a little in this second quarter. So, we mentioned that. But that’s only building conception and only to be honest in Europe, not so much in Asia where we are also active still. So, it’s just completeness that we want to give you the full update of all the different market segments.
Geraldine Matchett: And Mutlu regarding the Brazil truck issue, so yes, it’s always a little harder to call out exactly what to associate with the trucks when it comes to the overall results. But it’s probably in the order of about €3 million to €4 million on the EBITDA line, bearing in mind that that 3% is a bit low €18 million in top line. So, that’s broadly the numbers. I think what’s worth maybe highlighting because we -- I mentioned it in my opening comments, the main impact is on Q2. But in the segment such as poultry and a little bit swine as well, the impact will have a bit of an H2 element as well because there the animals actually died and they had to start again from scratch. Whereas with ruminants, it was more an inability to produce and to ship the products. So, it had a more immediate and then it got started again. So, there will be a little bit of a tail to this in Q3 most likely.
Operator: The next question comes from Mr. Thomas Wrigglesworth with Citi. Please go ahead.
Thomas Wrigglesworth: Just on the Human Nutrition growth, could you just break that out into how much of the growth this quarter was or even this half was from i-Health and how may be some of the other elements within Human Nutrition are growing, just on dietary supplements and infant as well. So, it looks like infants was quite strong in Asia in this quarter. And then, secondly, to come back to the vitamins, do you think we’re currently at the marginal cost production now for vitamin prices, i.e. are we at that point if we look at spot prices where we’re into the cost curve and down side would actually probably lead to closures from some of the higher cost producers, and this is a current flow? Thank you.
Feike Sijbesma: On Human Nutrition on page 11 of quarterly report, we give a little bit of breakdown of the developments in the different segments and I would like to be careful to break it quantitative further down in our growth. But, indeed, i-Health is showing a very good growth. I mean, in total, the growth in the second quarter was 9% [indiscernible] and for prices -- also due to the mix of prices. But i-Health is very positive contributor with double-digit growth. Also now, not only in the U.S where historically i-Health was only in the U.S but now we started also in China and expect a lot more growth from that. And also, the infant formula -- that is by the across the globe, so, in the U.S., Europe and Asia, the second area of very good growth. Our solutions, the premix has stayed, also good growth as I said, element of growth. So, we benefitted also that we in the aromas [ph] also for human, already the investments we did in mill grades [ph] before making more concentrated aromas [ph] and also benefitted -- we benefitted in our growth from that one. So, those are the elements. The five dimensions, whether they’re marginal costs now, the prices that depends a little bit per vitamin. For some, I would say, -- yes, for some manufacturers, the current prices might be close to their cost; for some, vitamins might not be the case and that may not go vitamin -- for vitamin -- and I think to be honest, we have 14, 15 different vitamins we have it for human, we have for it animal, we have it straight, we have with a lot of premixes. So, you’ll see all over the place always fluctuations up and down, not as big as we saw in the first half of the year, we see outages on A&E and animal, and therefore we brought it that separate that was totally out of any ordinary fluctuation or basis and therefore want to show that. But for the rest, we see always some fluctuations. And I think so, far we can balance each out. And then we continue to grow our volume in the segments, and once again above market, something to do with our growth position, something to do with our premix position, something to do with our solutions. And therefore we grow faster than the market basically. And I expect that to continue. It’s difficult to stay in this vitamin we reached the bottom and that vitamin not -- see always some fluctuations. But overall, I think the price is now more or less normalized a little bit.
Operator: The next question comes from Mr. Gunther Zechman, Bernstein. Go ahead please.
Gunther Zechman: Two questions, please. You -- from the 4% pricing you had in nutrition, you said the two effects, higher raw material cost and to offset currency headwinds. Could you split out how much of that was FX pricing and how much was the underlying pricing to offset the feedstock cost inflation? And the second one is, you mentioned in the prepared remarks the buildup in inventories on the nutrition cluster was in part due to expected maintenance turnarounds in the second half. Can you give us some idea of the magnitude of those turnarounds and what we should expect there?
Feike Sijbesma: Yes. Geraldine can do the second one. On the first one, I think it doesn’t exactly work like that. The main argument we use indeed in the market to increase our prices outside the little this vitamin A, E story, was that we see some raw material price increases and we see some FX. And in some countries, we just import normally on local FX. So, you ultimately have that effect if you have a local price in some countries and they get automatically that effect. So, the price increase, our arguments in the markets were these arguments. And I think -- and sometimes it goes even ultimately if you have local prices. For me, difficult to split it as also something you in different segments about competitiveness but in total, we saw the possibility to do that. Then, the inventories…
Geraldine Matchett: Yes. Yes, sure. So, inventory level is a bit high as we already mentioned a couple of times. Now, part of it is to do with the shutdown. Now, on vitamin C which we flagged, this is bit of a longer shutdown next year. We started beginning of July with a full month closed. So, that we built up inventory to make sure we can deliver to our clients. So, all very much according to plan. As to the others, they’re pretty recurring, every year we have some shutdowns, so A, E regular activities, and this will be in the second half of the year.
Gunther Zechman: But, we should expect that to be fully offset with the inventory builds because everything is planned turnarounds as long as they come back on stream as planned…
Geraldine Matchett: Yes. Yes, absolutely. The old inventory build-up in order to continue the deliveries.
Operator: The next question comes from Mr. Paul Walsh, Morgan Stanley. Go ahead, please.
Paul Walsh: Just three quick ones if I can. On the maintenance in the third quarter or fourth quarter, I’m just wondering if you could quantify it, what that might mean for EBITDA, if anything? My second question, just around the working capital outflows you saw in the first half, can we expect those to be recovered in the second half, or to the extent can you reverse those outflows? And my final question, in the materials space, you are still seeing very good organic growth dynamics in that business. I know you have already mentioned building construction in Europe seeing some slight signs of slowdown. Are you getting any feedback in the automotive chain around the summer shutdowns, whether or not it’s sort of typical or year-on-year very different?
Geraldine Matchett: Yes. So, on the inventory, in terms of the earnings impact in H2, this is left into our full-year outlook. So, nothing particular there to flag. As to the working capital, yes, I definitely expect to see a big part of this unwind in the second half. But, I deliberately included in my comment the fact that in line what we discussed at the Capital Markets Today, we also see a need to do real structural efforts on our working capital in nutrition. If you recall, Christmas -- staged with that and there has been a number of initiatives and actions ready. So, on the one hand, yes, absolutely, a seasonality, timing and impacted by the vitamin effect because it’s very difficult to call out on the balance sheet what is sort of underlying business and what’s vitamin effect. But yes, also structural effort needed.
Feike Sijbesma: Yes. On the Materials business, as we said basically the conditions of our material business are favorable. We look very positive also to remainder in the next years in to our Materials business. Electronics, the electrician industry we saw also Brazil of some big electronic companies this evening or yesterday evening in the U.S. and looks all favorable. Automotive, I see favorable development, so no concerns. Building construction also globally but not so much in Europe, some weakening and then we flagged that. Dyneema, very, very strong. Our specialties and engineering testing very strong. So, most of the markets in which we operate including automotive are okay, [indiscernible] area which we need to watch.
Operator: The next question comes from Mr. Christian Faitz Credit Suisse Kepler Cheuvreux.
Christian Faitz: Two questions remaining. First of all, just to add-on to Paul’s questions and also on Mutlu’s, in Materials. The weakness of the ECO [ph] coating market in Europe. In Europe you have statistics into Q3 because you talk a lot about Q2 but didn’t really reflect Q3 except for obviously and expected time and cost like that. Second question, in animal health that slowdown from Q1 into Q3. Can we expect the slowdown to continue into Q3 as a result of the drought with slaughter rates clearly going up at least in Europe?
Feike Sijbesma: No, both things -- on the materials, yes, I think overall, materials are doing well. And I’m not finding anything negative for materials in the second half year. The only is once again I repeat myself is that we see the building construction in Europe weakening somewhat but we operate in many markets. And as building construction weakening most likely will continue in Q3 but I think it will not affect our total performance in materials, since we operate in many markets. But, this building construction in Europe is not only something of Q2, most likely also for the second half year, but nothing to worry for the total business of materials. The slowdown in animal, hesitation in the second quarter will not continue in the third quarter. I see even with the start of the first quarter normalizing, and it had all to do with the they are almost logical psychological effect that some customers anticipated. But at the end of the second quarter will be back which was also the case. So, people didn’t want to pre-buy and maybe postponed till the prices would normalize and they did, and then they are back in the normal setting. So, I don’t see a slowdown in the third quarter.
Christian Faitz: So, even all the report about increasing laughter rates on the back of the drought in Europe, we can see a slowdown in demand at least in Europe?
Feike Sijbesma: Yes. The drought in Europe can affect somewhat the industries, but to be honest, we have not seen that type of material impact on our business. And it could be because the drought continue for long-time, we see several farmers especially also in the agriculture suffering from that. But to be honest, have we seen any material impact in our business from it so far, to be honest, no.
Operator: The next question comes from Mr. Laurence Alexander, Jefferies. Go ahead, please.
Laurence Alexander: Just two quick ones. Can you update your thinking about the net productivity captured this year relative to the tailwind that you’ll have next year, as you hit the full run-rate at the end of the year. And secondly, there is comment in the text about the Stevia samples being out in North America. Are those samples to corporate customers or can you just give an update on the process and how you think about the Stevia ramp over the next couple of years?
Geraldine Matchett: Let me just check your first question. Are you referring here to the improvement programs…?
Laurence Alexander: Yes.
Geraldine Matchett : Okay, sorry. So, the program is fully on track as we mentioned at the Capital Markets Day. So, what we have is that by the end of the year, we should be reaching €270 million, €275 million run rate of which the bulk by the way already in this year. So, it’s kind of completing the process. As for the costs, all in all, the whole programs will have reached about €250 million. When we started the whole journey, we were estimating €230 million. So, we’re little bit above but not significantly. And what we’re seeing this year in terms of programs and what is really now driving the backbone to delivery on our targets are all the customer centricity programs that pretty much each of our business groups are actively working on. And we will see in terms of program-related cost, it won’t be at all in the scale of what we’ve done in the past. But you will see a bit of a ramp up in that in H2. So, those are the really the key comments around the savings program.
Feike Sijbesma: Indeed on Stevia, you said sampling, we said out to corporate customers, and by the way don’t know exactly what corporate customers are but they are two corporations, two companies, especially two some big companies as you can imagine without mentioning names. And what need to be done is two things. They need to test in their test panels, the exact profile and that goes together with the exact formulation how the product behaves in the exact formulation and how that exact formulation then again has an effect on their test. And that’s always results customers’ complicated or lengthy process because they are very, very careful in terms of formulations and on taste. We believe that we have the right form of Stevia, we see [indiscernible] and being very well positioned, both from the cost and the taste profile but of course final verdict comes here from the customers. And then, we need to see how we can come to the right prediction levels. Theoretically you can talk here, but very, very big volumes and we need to see how far customers want to go. I don’t want to speculate now how that process goes because it will be dependent on a couple of very big potential leads, indeed could go several directions. But the fact that we’re well positioned with the right product and right cost profile at the end of the day create potentially a very big market here.
Operator: The next question comes from Andreas Heine, Mainfirst. Go ahead please.
Andreas Heine: I have a couple of very small ones. The first is on the Human Nutrition and the price increase of 4%, the most of the price -- vitamin price effect was on Animal Nutrition, so we can assume that the 4% is something we can also see in the second half as being sustainable. That’s the first question. Secondly, the dietary supplement business usually includes the [indiscernible] expect the i-Health, dietary supplement business also back on growth especially in the U.S. And then third on the Dyneema, your expanded the capacities should be ready in Q1 ‘19. These would be directional capacities that all dedicated for personal protection to prepare for more growth. And the last part from these chemical invest what is left after the disposal, is that the acrylonitrile business which is left on the rest is sold or how do we have to think about the remaining value of this business?
Geraldine Matchett: Let me maybe start with your last question and then hand over to Feike. So, when it comes to the associates, indeed having now done the two transactions in Q2 that now leaves us with effectively what were the competitive resins and the acrylonitrile businesses. So, they’re the two that still remain within our hands with 35% at this stage. Now, we had indicated at the Capital Markets that sort of on a last 12 months basis those two businesses have an EBITDA of about €88 million on a 100% basis that is. So, it’s still reasonably sizeable businesses and that is the last two from the associates that we had aimed to monetize and divest within the strategic period.
Feike Sijbesma: Right. If I look to the price increases in nutrition, it was in fact across the board. It was not only in animal or human, it was in animal, human and some of the other businesses like in personal care, and food, specialties et cetera. So, it is basically across the board in nutrition. And the argument that we mentioned sometimes the exchange rate, sometimes the exchange rate is a reason to increased prices in those countries where we are invoicing anyway in local currencies that will have automotive effect next to the raw material increase. And I think the current price levels will remain. We need to remind you that in the second half of the 2017, the prices started already to increase. So, if we look to comp spaces that comps is stronger in the first half year than maybe in the second half of the year, even with so called flat pricing further from this point onwards. On dietary supplements, yes, moving into growth situation in the U.S., in multivitamin but also in specialties like I mentioned to you aroma [ph] [indiscernible] the highly concentrated products et cetera. So, I think we will do much better and you see it in our growth profiles of Human Nutrition as well. And Dyneema indeed growing very fast at this moment and it’s both areas and all kind of applications in textile et cetera, but also in life protection doing very well and personal protection and indeed looking for debottlenecking, expansions of capacities which can support our further growth from ‘19 onwards. And I think the demand is very good.
Dave Huizing: Okay. Then we go to the last one in the queue. Patrick, we’ll give you the honor of having the last question.
Operator: Patrick Lambert, Raymond James, go ahead please.
Patrick Lambert: Two remaining questions, very quickly on Q3, special vitamin A, E impact. Do we actually -- do you intend to go on with that? Is there still remaining impact in Q3 but we should still [indiscernible] forecast. That’s question number one? And question number two on the -- again following Laurence question on the new projects. Can you comment a bit more on the aquaculture milestones and also the looking negotiations that you mentioned at the Capital Markets Day?
Feike Sijbesma: On the A&E we said basically with full transparency we wanted to show that we have the extraordinary situations with A&E in the first half of the year due to the outage, estimated that moment of time as about €275 million, it came exactly to that number. And basically, I think that’s it, because prices at the end of the second quarter are more or less normalized. So, I need to see exactly the order intake in Q3 but I think that basically this was it in H1 and nothing to expect in H2 anymore special effects. Referring to the total business excluding this effect of [indiscernible] in this first half year was growing 10%, sales wise 7%, EBITDA wise if you correct for FX 14%, all excluding this temporary vitamin effect. So, I think we are on a very strong growth trajectory and we expect to underline also again as you see in our outlook towards 25% increase. Again, also a strong second half here. The big projects we already discussed, Stevia we have been discussed -- Niaga, which is also an important one on stream. Clean Cow, we are in the testing mode now with the regulatory bodies that will also take some time in ‘19. So, at the moment we have some outcome on that. We will update you on that. Green Ocean, we are fully on track finalizing the investments in the factory, on budget, on schedule, and we see strong interest from our customers. So, our customers next to you who is asking are we on track this with Green Ocean [indiscernible] which I appreciate that you checking out, but I even appreciate more that our customers checking out whether we are on track because it’s a good indication that they want to buy. And by the way we want to sell. So, I think that this is moving in the right direction. I think we had a really strong to be honest second quarter, first half year like Geraldine said also in introduction with 10% sales growth excluding this whole 10% -- 7% EBITDA growth corrected for FX even close to 14%, I think we are right on track also towards future.
Dave Huizing: We also want to make some closing remarks. Shall we?
Geraldine Matchett: Very briefly, Feike did a great job. No. Hey, thanks everyone for joining the call, especially during what is I know vacation period for a lot of people, so highly appreciated. Really, in summary, a very strong first half of the year, business conditions remain strong, and we reiterate our full-year outlook. So, with that other than of course we will be in Q3 paying the stepped up dividends and which is 25% up really on the back of the confidence that we have to deliver our new strategic targets that we shared on June 20th. With that I thank you all and I wish you a good day.
Dave Huizing: Thank you, Geraldine; thank you, Feike. This concludes our conference call for today. Thank you very much for your attention and your questions. If you have any further questions, don’t hesitate to reach us, to me or my team. And with that I hand it back to the operator.
Operator: Ladies and gentlemen, this will conclude the DSM conference call. You may now disconnect your line. Thank you. Have a nice day.